Operator: Hello, and welcome to DexYP's Second Quarter 2018 Conference Call. With me today are Joe Walsh, Chief Executive Officer and President; and Paul Rouse, Chief Financial Officer and Treasurer.
 Some statements made by the company today during this call are forward-looking statements. These statements include the company's beliefs and expectations as to the future events and trends affecting the company's business and are subject to risks and uncertainties. Actual results may vary materially from these forward-looking statements.
 The company advises you not to place undue reliance on these forward-looking statements and to consider them in light of the factors that could cause actual results to differ materially from those in the forward-looking statements. These factors can be found in our press release dated July 26, 2018. The company has no obligation to update any forward-looking statements. Please reference our website, dexyp.com/about/corporate/investors, for a brief presentation to be used in today's comments. We will give you a few moments to reference the deck.
 I would now like to turn the call over to Joe Walsh. 
Joe Walsh: Thank you. Today, Paul and I will review our financial results from the second quarter 2018. I will highlight some key statements and then turn the call over to Paul to run through the detailed financials.
 We delivered strong EBITDA growth for Q2 to 2017. Our free cash flow continues to allow us to reduce debt aggressively. Our flagship product, Thryv, seen on Slide 5, continues to allow small businesses across America to modernize essential business functions. Our newest version of the all-in-one management software, Thryv 3.0, has been met positively in the market, and we're seeing brisk sales of the platform.
 Thryv, as seen on Slide 5, offers custom CRM data fields, updated world-class scheduling and payment, all of which brings to small businesses -- excuse me, all of which brings benefits to small businesses. With our new platform, we have seen engagement with the software grow exponentially in areas such as communication with clients, payment processing and use of social media.
 In addition, we're continuing to focus on our new leads platform, Thryv Leads, seen on Page 6. That complements Thryv to create a powerful business management solution and allows small business owners to generate leads across multiple media through a single budget and to see these leads flow into their Thryv CRM and communicate with them through Thryv. This is a tremendous advance for small businesses to be able to generate, track and communicate with new prospects all in one place. Though just launched, we're already seeing the positive response from our clients.
 We remain on plan or ahead of plan integrating Dex and YP and positioning DexYP for the future. This is reflected in our EBITDA margin increase to 31%, 6 percentage points increase over the second quarter of 2017. We're moving forward. We're steadily driving client acquisition of Thryv, deploying Thryv Leads and providing more channels for acquiring clients.
 Paul will share momentarily that we exceeded our EBITDA goals for the quarter. This is a direct reflection of our ability to effectively manage our costs ahead of revenue decline.
 Now I want to turn the call over to Paul to take you through the detailed financials for the past quarter. Paul? 
Paul Rouse: Thank, Joe. We will now discuss in more detail our consolidated second quarter 2018 financial report released on our website, as the operator previously mentioned. Our results are presented on a consolidated basis for DexYP as if YP had been acquired on January 1, 2017.
 I would like to point out that most of the financial measures that will be presented and discussed this morning were prepared on a non-GAAP adjusted pro forma basis. We believe these non-GAAP pro forma results provide more meaningful information to management and investors relative to the underlying financial performance of the company. In addition, these non-GAAP financial measures are used internally by management for budgeting, forecasting and compensation.
 The adjustments made to our GAAP results remove the impacts of fresh start accounting entries required upon emergence from bankruptcy on July 29, 2016, as well as acquisition accounting entries required following the acquisition of YP on June 30, 2017. In addition, nonrecurring costs associated with the acquisition of YP, including acquisition transaction fees, integration activities, business transformation and noncash expenses associated with long-term stock-based incentive compensation and pension expenses, were removed from our non-GAAP adjusted pro forma results.
 I am pleased to report that EBITDA results for the second quarter 2018 came in ahead of our plan. Non-GAAP adjusted pro forma EBITDA for the second quarter 2018 was $145 million. This represents a $2 million increase over the second quarter of 2017. We generated adjusted pro forma EBITDA margin of 31% for the quarter. Needless to say, we are very pleased with our second quarter results outlined here on Slide 8.
 Total pro forma net revenue for the second quarter was $471 million, a decline of 20% compared to the same quarter last year. Pro forma print net revenue for the second quarter was $224 million, a decline of 22% compared to the same quarter last year. This decline in our pro forma print revenue is consistent with the industry trends and is in line with our guidance we provided earlier in the year. Total digital net revenue was $245 million in the second quarter, a decline of 18% compared to the same quarter last year. This decline was largely the result of a planned shift from unprofitable digital revenue to profitable digital revenue.
 Thryv revenue units continue to grow at a rapid pace. Earlier this year, we launched Thryv 3.0 and expect it to drive continued growth. Already the product is producing $100 million in run rate revenue. And we are optimistic in the continuing growth possibilities of this product for years to come. This is our flagship product that is helping to drive new customer acquisition and is helping our clients run their business more efficiently.
 As previously mentioned, our adjusted pro forma EBITDA for the second quarter of 2018 was $45 million. Our EBITDA margin for the second quarter was 31%, an increase of 6 percentage points over the same quarter of 2017. We expect to continue to deliver EBITDA in the 30% range for the remainder of the year.
 Free cash flow for the second quarter of 2018 was $59 million compared to free cash flow of $4 million in the second quarter of 2017. The significant increase in our free cash flow for -- of $55 million was primarily attributable to lower income tax payments made in the second quarter of 2018 compared to the second quarter of 2017 as well as onetime YP acquisition fees that were paid in the second quarter of 2017.
 Moving on to our year-to-date results. Total pro forma net revenue for the year-to-date June 2018 was $968 million, a decline of 20% compared to the same period last year. Pro forma print net revenue for the year-to-date June 2018 was $466 million, a decline of 23% compared to the same period last year. Total digital net revenue was $498 million for the year-to-date June 2018, a decline of 17% compared to the same period last year. Again, this decline was largely the result of a planned shift from unprofitable digital revenue to profitable digital revenue.
 Adjusted pro forma EBITDA for the year-to-date June 2018 was $291 million, an increase of 4% or $11 million compared to the same period last year. Our EBITDA margin improved 7 percentage points to 30%. The improvement in our EBITDA margin is due to our shift in revenue to more profitable exclusive products and continued focus on our expense reductions.
 Free cash flow for the year-to-date June 2018 was $113 million compared to free cash flow of $115 million for the year-to-date June 2017, essentially flat.
 Let's take a look now on our net debt. As of June 30, 2018, our net debt was $700 million, which represents a reduction of $235 million over the 1-year period following the acquisition of YP on June 30, 2017. Our ratio of net debt to EBITDA has decreased to 1.22x. We expect to be below 1x by the end of the year. I am happy to report that we are reducing our net debt more quickly than anticipated at the time of the acquisition.
 As most of you are aware, the financing raised to fund our YP acquisition included a no-call provision, preventing us from making any substantial paydowns on this debt for 1 year. This provision expired on June 30. Accordingly, on July 31, we drew $70 million from our line of credit and used these proceeds to pay down our term loan. This amount reflects the elimination of excess liquidity we have maintained as well as our July free cash flow estimated payments. We will continue to make monthly payments going forward.
 I am sure many of you are curious about our ongoing efforts to replace our expensive term loan with low-cost financing. We are evaluating a number of scenarios, and we'll provide additional updates when the time is right. It's premature to discuss any details at this time. We do appreciate the offers to help we have received.
 On Slide 9, we have included a margin comparison for the last 6 quarters. You'll notice that we have improved our EBITDA margin for each of the last 6 quarters, growing from 22% in the first quarter of 2017 to 31% in the second quarter of 2018, as we continue to focus on profitable revenue products and the elimination of fixed costs from our business.
 Now I would like to turn the call back to Joe for some closing remarks. 
Joe Walsh: Thank you, Paul. Overall, we're pleased with our year-to-date results. We were successful in continuing to grow EBITDA margins.
 Thryv is enabling small businesses to modernize their operations and better communicate with customers. Thryv Leads is delivering a stream of low-cost leads integrated into Thryv so business owners can see the leads as they arrive in their CRM. Through Thryv, business owners can contact the prospects, convert them into buyers and track their lifetime purchases and value through Thryv. We are becoming a leader in the small business management software space.
 With that, Bridget, we can open up the line for questions. 
Operator: [Operator Instructions] And we have no questions at this time. 
Joe Walsh: Thank you, Bridget. Well, I'd like to just wrap the call up by thanking everybody for tuning in. As we mentioned in the prepared remarks, we are making good steady progress, variabilizing the cost of the legacy business and investing in the development of Thryv. And we're thrilled with the way Thryv is developing. So thank you, everyone. 
Operator: And thank you. This does concludes DexYP's Second Quarter 2018 Conference Call. You may now disconnect your lines.